Hiroyuki Ogawa: This is Hiroyuki Ogawa, CEO Komatsu. First of all, I'd like to explain the current status of COVID-19 impact on our operations. First, on Page 4, I'll explain the impact of COVID-19 on operations. To start, I'll talk about the impact on production. Currently, all plants are operating as usual. There are no problems in the supply chain. Next, regarding the impact on sales and service activities, looking at equipment utilization through contracts, many of the regions have recovered back to normal year conditions. As for sales activities, although, our response varies depending on region due to the situation regarding COVID-19, there are a growing number of business cases that are going back to regular work shifts or working with some limitations. Similarly, with regard to service activities to support customers’ machines at parts, warehouses and workshops, there are more workplaces that are going back to regular working styles. Page 5 explains the impact of COVID-19 on our business results. First of all, I'd like to explain the results for the second quarter. Sales of the construction, mining and utility equipment division were down 19% from the same period last year. China and Oceania, et cetera turned to positive growth and in other regions, the magnitude of the negative decline shrank compared to the first quarter. The impacts of COVID-19 were hardly seen in China and Oceania but in other regions, particularly in North America, Europe and Asia, the impact still continues. As for industrial machinery and others due to the impact of COVID-19 on the automotive industry, we're seeing fulfillment and reduction of investments in new equipment, as well as delays in installation work at overseas customers. Next, let me touch on the projection FY2020. This time we revised our projection, including the apparent changes from the projection in July. As well construction, mining and the utility equipment, we had expected the demand to come back gradually to recovery from the third quarter in traditional markets and from fourth quarter in traditional market except China. But according to our current projection in traditional markets, the rate of declines began to slow down year-on-year in the second quarter remaining on the recovery track while regional differences existed. In strategic market except China also the rate of declines began to slow down dynamically year-on-year in the second quarter, remaining on the recovery track while regional differences existed. Given this demand is projected at minus 15% to minus 5% year-on-year, showing the improvement from the July projection. As for industrial machinery and others, challenging condition in the first half will continue for the full year. And based on the latest condition, we revised the projection. Including the coronavirus second spike in Europe, risks of further effects on markets and the businesses are not included in the projection. Page 6 shows the comparison of the current demand projection with those in July for construction mining and the utility equipment. Chart on the top shows demand for several major products. In July, we projected a decline of minus 20% to minus 10% year-on-year. But the current projection is minus 15% to minus 5%. The graph at the bottom shows the year-on-year growth rate of demand from fiscal 2019 and compare to July projection and the latest projection. As shown in the graph on the left, demand in China increased significantly in the second quarter. In our July projection, we had already expected demand to trend strong but the economic recovery has get demand even stronger than expected. The graph on the right shows the areas other than China. The graph on the right compares the July and current projections for traditional markets and strategic markets excluding China. As for traditional markets, we revised our predictions for demand in North America and Japan. This was mainly due to a recovery trend in demand in construction and housing sectors in North America, and continued steady demand in civil engineering and construction from public works projects in Japan. In strategic markets other than China, we took into account the recovery trend in demand in India and Brazil. If we assume that the recovery will continue at this pace, suggested in the current position, demand in the region as a whole excluding China will turn positive year-on-year from the first to the second quarter of fiscal 2021 and will gradually recover in an L shaped towards the level before the spread of infection. However, COVID is spreading once again in Europe and other areas, making forecasting difficult. So we will continue our business activities as we prepare to respond to situations quickly. That's all for my explanation. Next, Mr. Horikoshi will explain the overview of fiscal year 2020 Q2 results.
Takeshi Horikoshi: I'm Takeshi Horikoshi, CFO. I'd like to give you a summary of the business results for the second quarter of fiscal year 2020. First on Page 8, I'll give you an overview of the second quarter of fiscal year 2020. Foreign exchange rates are ¥106.7 to the dollar, ¥124.2 to the euro and ¥16.3 to the Chinese renminbi. Compared with the corresponding period a year ago, the yen appreciated against the dollar and the renminbi -- and depreciated against the euro. Although, it's not on the slide, the yen has weakened against the Australian dollar and appreciated against the South African rand and the Russian ruble. Consolidated sales for the second quarter of fiscal year 2020 decreased by 17.3% from the corresponding period a year ago to ¥498.9 billion and operating income decreased by 50.3% to ¥33.4 billion. The operating income ratio declined 4.4 points to 6.7%. Consolidated net sales decreased due to decreased demand in wake of the spread of COVID-19, as well as the negative impact of foreign exchange rates. In addition, operating income decreased due to a decrease in sales volume and negative impact of foreign exchange rates despite some positive impact from fixed cost reduction. Net income decreased by 50.6% to ¥21 billion. On Page 9, I will explain segment sales and profit. In construction, mining and utility equipment, sales decreased by 18.1% from the corresponding period a year ago to ¥450.7 billion. Segment profit decreased by 52.5% to ¥29 billion. Net sales decreased mainly due to a decline in sales resulting from the spread of COVID-19 and the negative impact of foreign exchange rates, while profits decreased due to a decline in sales volume and the negative impact of foreign exchange rates. Although, there was a positive impact from fixed cost reductions. Retail finance revenues decreased by 3.8% from the corresponding period a year ago to ¥16.8 billion. Segment profit declined by 18.2% to ¥2.7 billion. Revenues decreased due to a decline in new contracts and profits decreased due to a decline in revenues and devaluation of leased up vehicles. Sales in the industrial machinery another segment remained broadly flat from the corresponding period a year ago at ¥39.9 billion and segment profit declined by 31.3% to ¥2.3 billion. Segment profit decreased due to a decrease in sales of process and machine tools for the automotive industry as a result of the spread of COVID-19. On Page 10 is sales by region for the construction, mining and utility equipment division. Sales of construction equipment and vehicles declined 19% from the corresponding period a year ago to ¥444.3 billion. Large decreases were recorded in North America, Asia, Japan and CIS. Due to a significant decline in North America, a traditional market as well as an increase in the strategic markets of Oceania in China, the percentage of traditional markets declined to 49% from 51% in the same period of the previous fiscal year. Page 11 shows highlights of the first half FY2020. As for FX, they were ¥107.1 to a dollar, ¥121.4 to a euro and ¥15.2 to renminbi. Yen appreciated to all of US dollar, euro and renminbi younger. And although they are not listed here, yen appreciated against Australian dollar, South African rand and Russian ruble as well. Consolidated service in the first half FY2020 were ¥957.7 billion, down 21.1% year on year. Operating income was down 57.5% year on year to ¥60.3 billion. Operating income ratio was down 5.4 points to 6.3%. Consolidated sales dropped with FX headwind in addition to the demand decrease affected by the spread of novel coronavirus. Operating income also fell due to volume decline and FX headwind. Other expenses were minus ¥1.8 billion, up to ¥11.9 billion year-on-year due to decrease in low sales on foreign exchanges and interest payment. Net income was down 58.6% to ¥37.2 billion. Dividend will be ¥18 per share as announced in July. Page 12 shows sales and profit by segment. Sales in construction, mining and a utility equipment were down 21.2% year-on-year to ¥876.5 billion and the segment profit was down 59.8% to ¥52.2 billion. Sales decrease due to reduce sales affected by the spread of coronavirus and FX headwind, and the profit decreased due to reduced sales volume and FX headwind. Revenue in retail finance was down 5.8% year-on-year to ¥32.7 billion and its segment profit was down 31.2% to ¥4.6 billion. Revenue decreased due to a decline in new contracts mainly in North America, and profit decreased due to extension of payments and the revaluation of vehicles after lease use in addition to the decreased revenues. Sales in industrial machinery and others were down 11.9% year-on-year to ¥64.9 billion, and its segment profit was up 1.6% to ¥4.1 million. Sales decreased due to reduced sales of process and a machine tools due to the automobile industry affected by coronavirus. The segment profit increased supported by steady sales of excimer laser related products in the semiconductor market. Page 13 shows sales in construction, mining and utility equipment by region. Sales in construction, mining and utility equipment were down 22.1% year-on-year to ¥854.3 billion. Sales declined in all regions except China due to spread of COVID-19 the decline was especially large in North America, Asia and Europe. One of the traditional markets of North America and Europe declined significantly, the strategic market of China increased. As a result, the share of the traditional market declined year-on-year from 49% to 48%. Page 14 shows the changes in sales and segment profits in construction, mining and utility equipment. Sales decreased by ¥235.1 billion year-on-year due to reduced sales volume and negative impact of foreign exchange rates. Segment profit decreased by ¥77.6 billion year-on-year due to reduced sales volume and adverse effect of the exchange rate despite a positive factor of reduced fixed costs. The segment profit ratio was down 5.7 points to 6%. Page 15 shows the status of retail finance. Assets increased supported by growth in China and other countries, while assets declined in North America. New contracts declined significantly in North America due to a decline in sales of construction equipment as a result of the threat of COVID-19 infections. Sales decreased due to a fall in new contracts and segment income decreased due to decline in sales and revaluation of vehicles after lease use. With the spread of COVID-19, we received request for payment deferrals from some customers, mainly in the first quarter and we responded after surveying the situation but this has now calmed down. Page 16 shows the sales and segments profit of the industrial machinery and other segment. Sales of this segment declined by 11.9% year-on-year to ¥64.9 billion due to the spread of COVID-19 infections, sales of process and machine tools for the automobile industry is down whereas sales of excimer laser related products for the semiconductor market were firm. Segment profit was ¥4.1 billion about flat year-on-year and the segment profit ratio increased by 0.8 points to 6.3%. I will explain the consolidated balance sheet on Page 17. Total assets were ¥3,594.4 billion, down ¥59.2 billion from the end of the previous fiscal year. Inventories increase at the end of June with COVID-19 impacting sales more than production adjustments but decreased in the second quarter. We plan to further reduce inventories by the end of the fiscal year. Accounts receivable declined due to lower sales. Interest bearing debt decreased ¥46.3 billion to ¥966 billion. Shareholders’ equity ratio increased 1% point to 49.5%. Net debt equity ratio was 0.41. That's all from myself. Next Mr. Imayoshi will explain the outlook of fiscal year 2020 business results.
Takuya Imayoshi: This is Takuya Imayoshi, General Manager of the Business Coordination Department. I'd like to give you an outlook of fiscal year 2020 business results, as well as conditions of our main markets. On Page 19, I'd like to give you an overview of the projections for fiscal year 2020. In the table starting from left to right, our results for fiscal year 2019, the latest projection for fiscal year 2020, then next to it is the projection as of July. Year-on-year changes compare to latest forecasts for fiscal 2020 and fiscal 2019 results. Compared against the July forecast the yen is trending on the weaker end, demand is expected to exceed the assumptions of the July projection and fixed cost reduction is proceeding. Hence, we have revised the projection for this year. First for foreign exchange rates, we revised the rates for Q3 and beyond. The US dollar and the Chinese renminbi are unchanged at ¥105 and ¥15 respectively, but we have revised the euro from ¥116 to ¥124. And we have also revised other currencies although we not mentioned on the slide. As a result, the average exchange rates for the fiscal year are ¥106.1 to the dollar, ¥122.7 to the euro and ¥15.1 to the Chinese renminbi. Next, we made some revisions to the demand outlook in China, North America, Japan and some other regions. Details will be provided later. Fixed costs are expected to be lower than the July projection due to cost control and other measures. Although, there was an impact from activity restrictions due to COVID-19. Taking these factors into account, net sales was revised upward by ¥51 billion to ¥2,119 billion. Consolidated operating profit was revised upward by ¥19 billion to ¥134 billion and net profit is expected to be ¥80 billion. ROE is expected to be 4.5%. Dividends are planned to be ¥43 per share, maintaining the consolidated dividend payout ratio of 50.8% from the July projection, the payout will be ¥7 a share higher than what was projected in July. On Page 20, I'll explain the projection for segment sales and profits. Sales of construction, mining and utility equipment has been revised upwards by ¥60 billion from the July projection, but will be down 13.9% year-over-year to ¥1,905 billion. Segment profit has been revised upward by ¥20 billion but will be down 48.1% year-over-year to ¥118 billion. The segment profit ratio is expected to be 6.2%. Compared to the July projection, demand in China, Japan, North America and other markets is expected to exceed our assumptions. And as fixed cost reductions or other sectors are anticipated, we have revised the business projection. In the retail finance segment, revenue was revised downward by ¥1 billion from the July projection. Revenues are expected to decrease 5.5% year-over-year to ¥67 billion and segment profit is expected to be ¥10 billion down by 21.1% year-over-year. This forecast takes into account the impact of the decline in new contracts. In the industrial machinery and other segment, sales was revised downwards by ¥9 billion from the July projection to ¥172 billion, a decrease of 3.1% year-over-year and segment profit was revised downwards by ¥2 billion to ¥12 billion, down 12.4% year-over-year. Sluggish sales to the automotive industry and delayed installation of machinery at overseas customers were factored into this forecast. Causes of differences for each segment will be explained later. Page 21 shows the projection for sales by region for Construction, Mining and Utility Equipment. For fiscal year 2020, revenues are expected to decline by ¥315.9 billion to ¥1,890 billion due to significant declines in North America, Asia and Europe. Compared to the July projection, the outlook for China, Latin America and Oceania, has been revised upward. As the traditional markets of North America and Europe are expected to see large declines whilst the strategic markets of China and Oceania are expected to see increases, the percentage of traditional markets is expected to decline from 50% in the previous year to 48%. Page 22 shows the causes of difference in projected sales and segment profit for Construction, Mining and Utility Equipment. Net sales are expected to decrease by ¥306.2 billion from the previous year due to a decrease in volume and the negative impact of foreign exchange rates. Segment profits are expected to decrease by ¥109.3 billion compared to the previous year due to a decrease in volume and negative effects to the foreign exchange rates despite the positive effects of fixed cost reductions. Page 23 is the outlook for Retail Finance. Retail Finance assets are expected to decrease due to a decrease in new contracts and the impact of foreign exchange rates. New contracts are expected to decrease mainly in North America due to the decline in sales, resulting from the spread of COVID-19. Revenues are expected to decrease due to a decrease in new contracts and is expected to be slightly lower than the projections made in July. Segment profit is expected to decrease due to a decline in revenue and the revaluation of vehicles after lease use. Page 24 shows the sales and segment profit projection for Industrial Machinery and Others. Although sales of press machines and machine tools to the automotive industry are expected to decline due to the impact of the spread of COVID-19, sales of excimer laser related products to the semiconductor market are expected to be brisk. Overall, sales are expected to be ¥172 billion, down by 3.1% year-over-year and segment profit is expected to reach ¥12 billion, down by ¥1.7 billion year-over-year. Sales are expected to decrease against the July projection too, due to the postponement of investments in press machines and machine tools for the automotive industry and delays in installation work at overseas customers. From Page 25, I'll start explaining the demand trends for the seven major construction equipment products. Demand trends for the seven major products are shown here, which includes mining equipment. The figures for the second quarter of fiscal 2020 are preliminary figures estimated by the company. In the second quarter FY 2020 global demand declined 7% year-on-year. Demand in China increased sharply supported by economic recovery but in other regions demand continue to be weaker from previous year affected by coronavirus. We have revised our projection of full year demand from July, including the apparent changes to minus 15% to minus 5%. Demand growth in China, North America and Japan are included. Along with the reduced economic activities demand will be gradually recovering. But as European to other regions continue to observe the spread of coronavirus infections, we continue to monitor demand trend closely. From next page, I'll be explaining the major market conditions. Page 26 shows demand trend in Japan. In the second quarter FY 2020, demand declined by 13% year-on-year. Demand in civil engineering sector supported by public works has been steady. But due to the preconception tax hike demand spiked in the previous year and weakened investment sentiment affected by coronavirus this year demand decreased year-on-year. We revised our demand projection for the full year to minus 10% to minus 5%, as our demand in the civil engineering sector supported by public works will continue to be firm, despite the decline of coronavirus impacts. KOMTRAX monthly average operating hours went down by 1% year-on-year in September. Operation onsite has been normalized. Page 27 shows demand trend in North America. In the second quarter FY 2020, demand declined by 16% year-on-year. We faced resumption of economic activities construction has been recovering but some postpone the purchase of new machines continuing to use the existing machines. We revised our projection to minus 20% to minus 15% year-on-year as demand in construction and housing began to recover despite the sluggish energy and rental sector due to weak crude oil prices and uncertainties due to presidential election. KOMTRAX monthly average operating hours was down 6% year-on-year in September. Operation is low in energy and rental sectors but in other sectors operation came back to the pre-coronavirus period level. Page 28 shows demand trend in Europe. In the second quarter of FY 2020, demand decreased by 24% year-on-year. Machine operation has been recovering with the resumed business activities supported by the eased restrictions by the government, but some projects have been delayed affected by coronavirus and the future uncertainty dampened the buying appetite and the demand continue to be weak. Full year projection remains unchanged from July at minus 25% to minus 20%. But given the risk of demand worsened further due to the second spike of coronavirus we will keep close monitoring of market conditions. KOMTRAX monthly average operating hours were up 3% year-on-year in September. Page 29 shows demand trend of foreign makers in China. In the second quarter FY 2020, demand increased by 42% year-on-year, affected by coronavirus. Post Chinese New Year sales season was delayed and due to the uplift by the infrastructure related investment, demand spiked in the first quarter. But supported by the sustained economic recovery strong demand was sustained in the second quarter as well. As a reference total demand of hydraulic excavators including mini excavators in Chinese makers was up 67% year-on-year. We have revised our projection of full year demand to plus 30% to plus 40% year-on-year as demand continue to be firm. KOMTRAX monthly average operating hours was down 1% year-on-year in September. Page 30 shows demand trend in Southeast Asia. In the second quarter FY 2020 demand declined just 32% year-on-year. In Indonesia, the largest market, demand went down by 50% due to sluggish thermal coal price and the economic activity restrictions due to coronavirus infection. In Thailand, demand marked plus due to resolved coronavirus impact and the progressing public works, but in Philippines and the Malaysia, demand surged affected by coronavirus. We project the three year demand will drop by 35% to 30%. With governments easing their restrictions, demand will be recovering gradually from the fourth quarter. But as the thermal coal price will continue to be sluggish and the government will continue to curb the infrastructure investment in its economic policy, weak demand will continue as a whole. KOMTRAX monthly measure average operating hours in Indonesia was down 7% year-on-year in September.  Page 31, shows demand trends in mining and equipment. In the second quarter FY 2020, demand declined by 27% year-on-year. Demand decreased mainly in North America, Indonesia and CIS due to sluggish prices of crude oil and coal. Demand in FY 2020 will declined by 20% to 10% year-on-year. Demand in North America, Indonesia and CIS will decrease due to sluggish crude oil and coal prices, but demand in other regions will be firm. I will now explain the status of orders and sales of mining equipment in reference materials on Pages 41 and 42. Page 41, shows the trend in the index of orders and sales for mining equipment. The graph shows the trend of the index, which is the amount of orders for new vehicles received divided by sales for the previous six months. Komatsu American manufactures and sales ultra class dump trucks, although, the current index is about 100% due to city demand for copper and iron ore mining, there is uncertainty in North America due to the decline in crude oil prices and other factors. And so we will continue to monitor the investment trends of our customers. Komatsu Germany, in the middle section of manufactures and sales, ultra class hydraulic excavators. The current index exceeds 100% due to orders for copper and others but orders for coal are weak and the overall level of orders is low. With regard to Komatsu Ltd. at the bottom demand for 100 ton class dump trucks for Indonesia has been weak. Orders have remained sluggish and the current index is below 100%. Page 42 shows the trends in orders and sales index for mining equipment made by KMC. Particularly for North American coal customers, orders continue to be sluggish due partly to falling coal prices but the index was at the 100% level because sales is also declining. Next I will explain the sales numbers of mining equipment on Page 32. Sales in the second quarter of fiscal 2020 decreased 24% year-on-year to ¥179.5 billion due to lower crude oil and coal prices bringing down sales in North America, Asia and CIS. Excluding the impact of foreign exchange rates, sales declined 23% year-on-year. Fiscal 2020 full year sales are expected to fall 20% year-on-year to ¥759.9 billion, mainly due to drop in sales in North America, Indonesia and CIS. Excluding the impact of foreign exchange rates, sales decline is expected to be 18% year-on-year. The projection rate in July has been revised to reflect the latest developments, including the impact of foreign exchange rates. On Page 33 I explain the certification of parts. Sales in the second quarter of fiscal 2020 decreased 15% year-on-year to ¥126.7 billion, excluding the impact of foreign exchange rates. This represents a decrease of 13%. Fiscal 2020 full year sales are expected to decline 14% from the previous year to ¥506.9 billion. Excluding the impact of foreign exchange rate, the figure is 11%. The projection made in July has been revised to reflect the latest developments, including the impact of foreign exchange rates. Although, sales decreased due to the stagnation of economic activities caused by the spread of COVID-19 and the postponement of overhauls caused by the decrease in sales of mining equipment due to the fall in coal, oil prices and the curtailment of investment by customers. The average KOMTRAX operating hours is returning to last year's level, except in some regions and demand for parts and services is expected to recover faster than that of the machines. Next I will explain about Page 44. On August 31st, Komatsu published the integrated report titled Komatsu report 2020 with the environment as the overall theme this edition features our work on TCFD and smart construction and forestry businesses as value creation stories. Report updated fiscal 2019 results of KPIs that track our contribution to solving ESG issues. Next is Page 45. Our fully owned subsidiary, Komatsu Mining Corp., has begun full scale construction work to relocate its new headquarters factory in Milwaukee, Wisconsin, USA, utilizing the technology of digital transformation and smart construction. By realizing a digital trend that optimizes construction, while synchronizing the actual site and the digitally simulated site KMC contributes to improving the productivity and safety of the site and preventing the spread of COVID-19. The new headquarter factory is scheduled to be completed and relocated in 2022. Next is Page 46. From November 2020, the target models of smart construction retrofit kit, which provides ICT functions, such as 3D machine guidance and payload functions to existing conventional construction machines, will be extended to mini-excavators for the Japanese market. The kit will now be available for mini-excavators less than 6 tons. We will introduce them for rental machines owned by the Komatsu Group in the domestic markets from November 2020. By first making them widely available on rental machines, we aim to further extend this in the future. In the past, ICT construction under Ministry of Land, Infrastructure, Transport and Tourism and construction was applied mainly in medium sized hydraulic excavators. Now that a low cost retrofit kit will be available for mini-excavators, it is expected that ICT construction will expand to work in narrow spaces, such as building foundations, road gutters and pipes. Finally, Page 47. Komatsu was awarded the DX Grand Prix 2020 as the leading company in the digital age from among digital transformation brands companies, which were jointly selected by Japan's Ministry of Economic Trade & Industry, and the Tokyo Stock Exchange. This year 35 companies were selected as DX Grand’s 2020 for having assistance to promote digital transformation and achieving outstanding digital utilization. Of the 35, two companies were selected for the DX Grand Prix. Also it was announced yesterday that we were awarded the third Japan service awards, prime minister's award for our smart construction digital business format innovation for all civil engineering and construction services. That is all from my shelf. We would now like to move on to Q&A.
Operator: The first question is from Mr. Saito of Nomura Securities.
Katsushi Saito: The first question is about the cost differences in profit, in your first half results and full year outlook. Can you break down the volume product mix, et cetera, item into pure volume and other factors that may be related to the decline in utilization on a standalone basis?
Takeshi Horikoshi: First of all, regarding Page 14 and the first half, volume impact was ¥91.4 billion, out of which period volume impact was minus ¥76 billion. Other than that, the impact from COGS was minus ¥6.1 billion. Also included is minus ¥3.2 billion attributed to differences in regional and product mix. One more factor is ¥11.4 billion in losses pertaining to the difference in the consolidated nonconsolidated mix. This is due to the intermediate inventory reduction adjustments that I touched upon before. This has led to a sales decrease at Komatsu Limited on a nonconsolidated basis compared to consolidated sales, resulting in the loss of ¥11.4 billion. There is also ¥5.3 billion positive factor included in the number. You may recall that last year we changed the scope of consolidation and announced some losses associated to it. In comparison, this year we saw some gains come through. So what I just talked about was about the first half on Page 14.
Katsushi Saito: Thank you. Can you also give me the breakdown for the full year?
Takeshi Horikoshi: Yes. For the full year, we are accounting for it minus ¥131.8 billion volume impact out of which period volume is minus ¥93.8 billion. The COGS difference accounted for is minus ¥9.9 billion. And the third item accounted for is regional and product mix, which is minus ¥3.9 billion. And the impact from consolidation, nonconsolidation mix difference I referred to earlier is minus ¥12.1 billion. And as a fifth factor, which I also touched upon when we announced the July projection is that there are ¥13 billion of losses accounted for, the difference is related to the adjustment of unrealized inventory profits. When intermediate inventory decreases, profit increase in general. However, compared to last year's realized profits, this year's profits are expected to be lower. So there are two differences we are accounting for making this a bit complicated. But in any case, this adds up to the ¥13 billion loss. There is also ¥900 million positive impact.
Katsushi Saito: For the unrealized profit, are you saying that it wasn't a large item in the first half?
Takeshi Horikoshi: Yes, that is correct.
Katsushi Saito: The second question is about fixed cost reduction. It seems that you were accounting for more compared to your previous projection. What kind of measures are you going to implement? Also in the integrated report, you can see that ever since you acquired Joy Global or the current KMC, fixed costs have been underwrite. You spoke about how total North America has been tough. But can you give us more details around the fixed cost reduction of ¥24.1 billion? Are you going to do something like structural reform?
Takeshi Horikoshi: I'd like to ask Mr. Ogawa about your thoughts behind this.
Hiroyuki Ogawa: This is Ogawa speaking. For fiscal 2020, we are expecting ¥25.2 billion fixed cost reduction. This will be realized mainly through activity restrictions amid COVID-19 and freezing new investments, some impact from personnel optimization is already accounted for too. But the main components are what I talked about earlier. Also, we've been working on making our business process leaner and streamlining through IoT utilization and we have been making some IT investments in the past several years for this purpose. So I believe that we have been seeing some positive impact from this initiative. However, once we shift to normal operations from operations under COVID-19, we do expect a certain degree of fixed costs to increase. Regarding your question on structural reform, we said before that we will carry out our drastic structural reform effort. It is comprised mainly of three components. First is personnel optimization. This will include measures such as keeping hiring down and in some overseas entities, we have already started to rightsize our workforce. The second component is fixed cost related, mainly structural reform at KMC. Specifically, we plan to integrate operations at KMC and KAC, which is the entity in charge of US operations in order to drive synergies. We also plan to conduct a product portfolio review for the underground business. Thirdly, we will review our global production capacity. For example, we will look at our global capacity for casting or capacity in China. In any case, we will look at where global capacity stands, and there are some factories we are thinking about already. But in any case, we will conduct a review. And by reviewing the current organization, as well as the capacity we have in place, the plan is to cut fixed costs when operations normalize by ¥17 billion by 2022 and ¥21 billion by 2024. This is the end of my remarks.
Katsushi Saito: I'm so sorry, I wasn't able to catch the numbers you just mentioned. Can you run through the numbers you mentioned in the end of your remark one more time?
Hiroyuki Ogawa: ¥17 billion by 2022, this is from when we move out of COVID-19 and shift to normal operations. So by 2022, our plan is to cut ¥17 billion worth of fixed cost and ¥21 billion by 2024. So this is a plan we have formulated and plan to execute. That will be the end of my remarks.
Katsushi Saito: So the ¥17 billion cut you mentioned is separate from the ¥24.1 billion cut you're planning for fiscal 2020. Just to confirm, your point is that once things normalize cost increases are anticipated in some areas. But apart from that, you're planning for ¥17 billion cut. And by 2024, you'd like to reach $21 billion, which includes the $17 billion, right? 
Hiroyuki Ogawa: Yes, that is correct.
Katsushi Saito: Were you thinking about this prior to COVID-19? For example, KMC was doing well until last year and from this year, there is a situation around North America and coal. Were you thinking about doing this from before, but have decided to go ahead with your plans now and are sharing the details with us now as things have started to settle down?
Takeshi Horikoshi: As I said in Q1, due to the M&As we have conducted in the past several years at Komatsu, it's true that we have become quite fixed cost heavy. So we are aware that we need to do something about it. And when we got COVID-19, we have decided to engage in cost reduction efforts once again.
Operator: The next question is from Mr. Sano of JP Morgan Securities. 
Tomohiko Sano: Hello, this is Sano from JP Morgan Securities. Thank you for taking my question. My first question is about production trends. Compared to your July projection, you were saying that the pickup that was anticipated in the second half for traditional and strategic markets is happening earlier than anticipated. You also mentioned that production is back to normal operations in mid COVID-19. For markets such as China, Japan and North America for which you revised your outlook heading into Q3 and Q4 from Q2, is production likely to increase? Can you give us more flavor on this?
Hiroyuki Ogawa: For the second quarter, utilization adjustments were made at factories so as to reduce inventories. However, as we expect more volume heading into Q3 and Q4 factories that we're seeing declining trends in overtime has now shifted to increases in overtime.
Tomohiko Sano: Thank you. My second question is about Page 45, regarding your strategy for Milwaukee. I'd like Mr. Ogawa to take this question. You were saying that the factory is expected to be completed in 2022. But how much better do you think productivity and safety is? Because you are doing the project and are adopting a digital plan compared to a general construction project. Are there any examples that you can share with us so that we can get a better understanding of the potential growth rates?
Hiroyuki Ogawa: I'm not sure whether that what I'm going to say applies to the new factory we're building in Milwaukee. But generally speaking, results have shown that smart construction reduces our customers’ construction period and productivity improves by 30%. For example, in Germany, we have been running test cases since last year but lead time has been going down by 30%. So we think that an impact of this degree can be expected from the Milwaukee factory as well. The Ministry of Land Infrastructure and Transport construction initiative, has also been saying that the productivity gains through construction are about 30%, which broadly is the same as our track record.
Operator: Next question is from Mr. Isayama of Goldman Sachs.
Yuichiro Isayama: I’d like to ask you about the mining equipment margin. I'd appreciate if you give me some hints or anything about the full year plan or the first half results. The margin in the past was over 20% and the low side was about 16% or 17%, even considering the fixed cost as mentioned an the sluggish shipment, due to sluggish coal price, I assume 10% was still sustained. But I dare to ask this question, because I haven't asked about that for a while? That's my first question. Thank you.
Hiroyuki Ogawa: Indeed, it is meanwhile. In the past, yes, margin was over 20%. And you said the current margin should be over 10%. And yes, of course it's over 10%. And you suggested the low side and the current margin is slightly below that. Does that answer your question?
Yuichiro Isayama: May I have a follow-up question for confirmation? What is different between now and then with KMC?
Hiroyuki Ogawa: Before acquisition margin at KMC was single digit and the conventional Komatsu was in the middle of 10%. 
Yuichiro Isayama: And can I take that you came back to the level of margin now?
Hiroyuki Ogawa: Especially in this year, KMC’s OP margin did as coal price in North America fell sharply and that pushed down the profitability of mining. On the other hand, in mining business profitability in Indonesia is originally high but currently, it is almost at the bottom. So that is another reason for the weakness.
Yuichiro Isayama: Let me ask another follow-up question to the first question. You described it on your coal sales proportion. I'd like to know the present sales percentage of coal?
Takeshi Horikoshi: I'm referring to page 32. The percentage of Asia, North America, Europe and the CIA is very small in this quarterly chart. My ballpark estimate of the sales percentage of coal in mining sales is about 30% or slightly below.
Yuichiro Isayama: Am I close or is it still high? This is my last question. May I make a comment from the overall perspective? In this year's forecast, some of coal sales are 7% of the consolidated total sales. Is it out of the total sales?
Takeshi Horikoshi: Yes. And out of the mining equipment, summer coal sales are about 20% and the coking coal sales are 4% of total sales and that 11% of mining.
Yuichiro Isayama: And my second question is about KMC and this is also for confirmation. There was a comment about the synergy effect at the time of acquisition. Previously, there was a question about the fixed cost. And I guess it was about the total fixed cost? Could you comment on the fixed cost for the KMC or mining considering the coal condition in North America?
Takeshi Horikoshi: Are you asking about the KMC’s proportion out of the total fixed cost?
Yuichiro Isayama: Yes.
Takeshi Horikoshi: Mr. Ogawa mentioned that ¥17 billion by 2022 and ¥21 billion by 2024, I assume that mining proportion net of those will be large. And also there was a comment on the synergy in mining business. So I thought the structural reform in mining would have the big implications.
Hiroyuki Ogawa: What is influential is operational integration of KAC and the KMC in North America. Another key point is the review your product portfolio of underground mining. It includes the business review and it's impact really substantial.
Operator: Next question is from Mr. Ouchi of SMBC Nikko Securities.
Taku Ouchi: Firstly, you did not show the plan for the second quarter, but did you achieve the target? And what are the factors behind achievement? And when compared to the first and the second quarter, volume increased but it seemed profit didn't grow as much. Would you comment on the second quarter with the quarter-on-quarter profit change? This is my first question.
Takeshi Horikoshi: Quarter on quarter sales and profit in the second quarter were about the forecast announced in July. Profit was above by over ¥10 billion and sales were above by about ¥20 billion.
Taku Ouchi: Do you have any figures for the quarter-on-quarter profit change don't you?
Takeshi Horikoshi: I don't have them now.
Taku Ouchi: I see. Thank you. Secondly, I'd like to understand the gap between demand and sales by region. In the new plan, sales in Latin America are revised up by ¥14 and over ¥20 billion in Oceania. But in Mining only ¥10 billion was revised up. So I assume that presumably non mining would strong. And I would like to have your comment on those more in detail. On the other hand, market demands in North America and Japan were revised upward but your sales forecasts are almost flat compared to the July forecast. So would you comment on factors behind? This is my second question.
Takuya Imayoshi: We do not disclose mining regional breakdown and I cannot comment specifically in detail. In mining, Oceania and Latin America are growing but production machinery is growing as well. And as foreign exchange also affect us, not everything is coming from the volume impact. As for construction machinery demand whose demand was revised up, as mentioned, China impact is substantial. And in addition to Japan and North America, full year demand in other regions, including Latin America and India really stronger than our initial projection. As for Japan, demand really picking up. But as you know, rental market has a big presence in Japan and that would not affect our new machine sales directory. Did I cover those points?
Taku Ouchi: How about North America.
Takuya Imayoshi: In North America is a similar mining proportion is very high, new machines in construction does not have major impacts. But I think that they are growing somewhat.
Operator: Next question is from Mr. [Indiscernible].
Unidentified Analyst: I have one question about Indonesia. I think you said that you do not expect much from the stimulus package for infrastructure. I'd like to have your prospects for construction machinery demand recovery in Indonesia specifically?
Hiroyuki Ogawa: Are you asking about construction machinery?
Unidentified Analyst: Yes.
Hiroyuki Ogawa: In Indonesia mining proportion is high. But talking about the construction machinery, it's severely affected by coronavirus as mentioned. And operational ratio had failed temporary and infection continues to spread, but we expect to see recovery in the fourth quarter. On the other hand, government’s budget location for infrastructure investment will not be prioritized and we'll continue to monitor the situation cautiously.
Unidentified Analyst: For the mining, is it all up to market conditions?
Hiroyuki Ogawa: In mining, although production is continuing at certain level, our sales have been impacted quite severely. Two things, one, customers have been completely holding back the new investment in new equipment and they have been putting off overhauls of parts. They just suspend operation of old equipment and move to with the new ones they have. So it is a quite tough situation for us. As I said production is continuing so it should come back at some point. The current level of demand for mining equipment is quite low. And I don't think this will continue forever. However, the price of coal is still depressed. So it will be difficult to predict from when we will see a recovery. As for Indonesia, demand for mining equipment fluctuate considerably depending on the price of coal. Indonesia can only produce low calorie coal. So unless the price of low calorie coal rises, users will not be more motivated to buy new equipment. Especially now the idle rate of 90 ton class dump trucks is increasing rapidly, and it has risen to 26% in September. The previous bottom I believe was in 2015. And at that time, the idle rate was about 20%. So the rate is higher now and I think the situation continues to be very severe. As I said last time, there was considerable amount of machinery renewals in the latter half of 2016 and then 2017 and 2018. So I don't think customers are looking to buy new equipment now. Customers are idling old equipment about to require overhaul and operating just the new equipment. So the situation is very tough for remanufacturing in parts as well. In any case, unless coal prices rise mine demand in Indonesia will not pick up. For general construction machinery due to [Indiscernible] [PSTB] large scale social restrictions, much of infrastructure construction work have been suspended with economic activity essentially at a standstill. So it is a very difficult situation. At present, we expect a recovery in the fourth quarter or later and we expect the pace to be very slow.
Operator: Next Mr. Ibara from Morgan Stanley MUFG Securities.
Yoshinao Ibara: First about mining equipment, the figure on Page 32 shows that sales of mining equipment in the first two quarters were ¥41.6 billion and ¥40.1 billion so ¥81.7 billion in the first half. And then you project ¥214.7 billion for the full year. So if you do this subtraction, it means about ¥133 billion for the second half or about ¥65 billion per quarter which is further high. Is it correct to understand that this reflects that you are expecting large shipments of equipment for copper and iron ore in Oceania and Latin America as you explained earlier. And sorry to ask this every time, but President Ogawa as you are engaged in various business negotiations with mining customers compared with three months ago. Do you get the sense that Indonesia is worsening further but you are seeing business negotiations returning in Oceania and Latin America like you mentioned earlier? If you see any changes in trends by customer, mineral or region, could you please explain that?
Hiroyuki Ogawa: As for the sales, the result of the subtraction is correct. Sales of equipment are expected to be substantially higher in the second half. You can see this on Page 31. Demand is expected to decrease by 28% in the first half of the fiscal year but it is expected to be between minus 10% and minus 20% for the full year. This is always quite a bit of fluctuation by quarter, but this year we expect first half low and second half height for business negotiation activity and correspondingly our sales. We are monitoring specific businesses negotiations, as well as backlog of orders. So although not 100% certain, we expect second half to be higher. As you mentioned, we do see demand rising in things like copper and gold in regions other than Indonesia. I believe it was last month that I had a meeting with the CEOs of Vale and BHP they were very positive. In particular, the CEO of Valet said that the production of iron ore was very low in the first half of the year due to COVID-19 and that they would have to make-up for it in the second half. So iron ore, copper and gold in the CIS they are going to be quite strong. BHP had a similar attitude and said that they will continue to invest. So I am not too worried about these major players. I will meet with Angelo top management in December, Rio Tinto not yet signed because their CEO is changing. But I will meet with Angelo in December, and I believe they will strike a similar tone.
Yoshinao Ibara: If that is the case, maybe with Indonesia in very difficult condition. It may be that shipments happened to occur at the same time but you are projecting sales of over ¥130 billion in the second half. If you continue to see movement in iron ore, gold and copper, as you are seeing now in the second half of next year. Do you anticipate that kind of shipment volume for equipment to continue, or is there not enough visibility at this time?
Hiroyuki Ogawa: I am not sure. But at the moment, we are not hearing about major companies holding down their investments toward next year.
Yoshinao Ibara: Second question, with regard to the construction equipment on the next phase. Operating hours are picking-up and so you expect that part for construction machinery will improve in the second half of the fiscal year of the breakdown of differences in volume and product mix that Mr. Saito asked about earlier. The region and product mix were limited in the first half and negative for the full year by 3.9 billion. So I think the region and product mix has continued to be negative for a while. You mentioned earlier that mining has a higher profit margin and that is returning. Although of course, Indonesia is still in a difficult situation. In this regard, I think it is about time that the regional and product mix becomes positive. Looking at this from the outside. This item includes many things like products and regions but is slated to be minus ¥700 million in the second half. Is there a possibility that this will turn positive in the fourth quarter? Can you share your views on this?
Takeshi Horikoshi: First of all, I think the regional composition impact will gradually improve in the second half. The regional composition is impacted greatly when Indonesia firms. So that that is why we have had negative figures for a long time. But at this point in time, we think the figure will be slightly positive in the second half of the year.
Yoshinao Ibara: As for the product mix, what is important is the parts. For now, we think this will be negative for the rest of the year. And I don't know but it will be next year. At least the regional composition is moving towards becoming positive and if the part gets better, the overall figure will turn positive. Is that how I should see it? 
Takeshi Horikoshi: The factors that have been largest impact on the product mix figures are the ratio of parts in equipment as Komatsu conventional and the ratio of services and equipment at KMC. At KMC, the fall in equipment was bigger than that of services and that led to the negative figure in product mix.
Unidentified Company Representative: We have received more questions but since it is time, I'd like to end the question-and-answer session. This concludes the business results conference. Ladies and gentlemen, thank you for joining us today.